Operator:
Kelly Pasterick:
Charles D. McLane Jr.:
Klaus Kleinfeld:
Operator:
Curt Woodworth – Nomura:
Klaus Kleinfeld:
Charles D. McLane Jr.:
Curt Woodworth – Nomura:
Charles D. McLane Jr.:
Curt Woodworth – Nomura:
Charles D. McLane Jr.:
Operator:
Michael Gambardella – JPMorgan:
Klaus Kleinfeld:
Charles D. McLane Jr.:
Michael Gambardella – JPMorgan:
Klaus Kleinfeld:
Michael Gambardella – JPMorgan:
Klaus Kleinfeld:
Michael Gambardella - JPMorgan:
Klaus Kleinfeld:
Michael Gambardella - JPMorgan:
Klaus Kleinfeld:
Operator:
Harry Mateer - Barclays Capital:
Charles D. McLane Jr.:
Harry Mateer - Barclays Capital:
Charles D. McLane Jr.:
Harry Mateer - Barclays Capital:
Charles D. McLane Jr.:
Harry Mateer - Barclays Capital:
Charles D. McLane Jr.:
Harry Mateer - Barclays Capital:
Charles D. McLane Jr.:
Klaus Kleinfeld:
Operator:
Carly Mattson - Goldman Sachs & Company:
Klaus Kleinfeld:
Carly Mattson - Goldman Sachs & Company:
Klaus Kleinfeld:
Carly Mattson – Goldman Sachs & Company:
Klaus Kleinfeld:
Charles D. McLane Jr.:
Klaus Kleinfeld:
Operator:
Timna Tanners – Bank of America Merrill Lynch:
Charles D. McLane Jr.:
Klaus Kleinfeld:
Timna Tanners – Bank of America Merrill Lynch:
Klaus Kleinfeld:
Timna Tanners – Bank of America Merrill Lynch:
Klaus Kleinfeld:
Timna Tanners – Bank of America Merrill Lynch:
Klaus Kleinfeld:
Timna Tanners - Bank of America Merrill Lynch:
Klaus Kleinfeld:
Operator:
Jorge Beristain - Deutsche Bank Securities, Inc.:
Charles D. McLane Jr.:
Jorge Beristain - Deutsche Bank Securities, Inc.:
Jorge Beristain - Deutsche Bank Securities, Inc.:
Charles D. McLane Jr.:
Jorge Beristain - Deutsche Bank Securities, Inc.:
Charles D. McLane Jr.:
Jorge Beristain - Deutsche Bank Securities, Inc.:
Charles D. McLane Jr.:
Jorge Beristain - Deutsche Bank Securities, Inc.:
Klaus Kleinfeld:
Operator:
David Gagliano - Barclays Capital:
Klaus Kleinfeld:
David Gagliano - Barclays Capital:
Klaus Kleinfeld:
David Gagliano - Barclays Capital:
Klaus Kleinfeld:
David Gagliano - Barclays Capital:
Klaus Kleinfeld:
David Gagliano - Barclays Capital:
Klaus Kleinfeld:
David Gagliano - Barclays Capital:
Operator:
Klaus Kleinfeld:
Charles D. McLane Jr.:
Klaus Kleinfeld: